Operator: Greetings. Welcome to Perimeter Solutions Third Quarter 2023 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note, this conference is being recorded. I will now turn the conference over to Seth Barker, Head of Investor Relations. Thank you. You may begin.
Seth Barker: Thank you, operator. Good morning, everyone, and thank you for joining Perimeter Solutions' Third Quarter 2023 Earnings Call. Speaking on today's call are Haitham Khouri, Chief Executive Officer; and Chuck Kropp, Chief Financial Officer. We want to remind anyone who may be listening to a replay of this call that all statements made are as of today, November 9, 2023, and these statements have not been nor will they be updated subsequent to today's call. Also, today's call may contain forward-looking statements. These statements made today are based on management's current expectations, assumptions and beliefs about our business and the environment in which we operate, and our actual results may materially differ from those expressed or implied on today's call. Please review our SEC filings for a more complete discussion of factors that could impact our results. The company would also like to advise you that during the call, we will be referring to non-GAAP financial measures, including EBITDA. The reconciliation of and other information regarding these items can be found in our earnings press release and presentation, both of which will be available on our website and on the SEC's website. With that, I will turn the call over to Haitham Khouri, Chief Executive Officer.
Haitham Khouri: Thank you, Seth. Good morning, everyone. Thank you for joining us. I'll start on slide three with a summary comments on our strategy. As we've stated repeatedly, our goal is to deliver private equity like returns with the liquidity of a public market. We plan to attain this goal by owning, operating and growing uniquely high quality businesses. We define uniquely high quality businesses through the following five very specific economic criteria. One, recurring and predictable revenue streams. Two, long-term secular growth tailwinds. Three, products that account for critical, but small portions of larger value streams. Four, significant free cash flow generation with higher returns on tangible capital. And five, the potential for opportunistic consolidation. We believe that these five economic criteria are present at our current businesses, and we use these criteria to evaluate potential new acquisitions. As described on slide four, we seek to drive long-term equity value creation via a consistent improvement in our three operational value drivers, which are; profitable new business, continual productivity improvements, and pricing to reflect the value our product and services provide. In addition to our three operational value drivers, we seek to maximize equity value creation through a clear focus on the allocation of our capital, as well as the management of our capital structure. Turning to our financial results, and starting with Fire Safety. We've repeatedly stated that while we expect predictable long-term growth in our Fire Safety business, we also expect quarterly and annual variability tied primarily to the severity of the North American fire season. The 2023 US fire season was mild with approximately 2.1 million acres burned ex-Alaska through Q3. This is 43% below the same period in 2022, 62% below 2021, 71% below 2020 and 54% below the 10-year average. Despite the greater than 40% year-over-year decline in year-to-date US acres burned ex-Alaska, year-to-date, Fire Safety segment sales and adjusted EBITDA declined 8% and 15%, respectively, versus the same period last year. The drivers behind this year-to-date sales and adjusted EBITDA outperformance relative to the decline in acres burned are: first, improved unit economics throughout our global retardant business; second, continued strong performance in our international retardant markets; and third, continued excellent performance in our suppressants business. All three of these positive drivers are the result of the rigorous application of our 3P's operating strategy, which we will continue to drive going forward, irrespective of end market conditions across our businesses. Moving to Specialty Products. As we discussed previously, this business has experienced a uniquely weak demand environment, which we continue to believe is a temporary phenomenon tied to inventory destocking activity in the specialty chemical supply chain. While it continues to be difficult to predict precisely when the destock will end, we believe that it should end once channel inventories are depleted. Turning to cash and capital allocation. We repurchased approximately 1.7 million shares in the third quarter at an average purchase price of $5.76. We have approximately $62 million remaining on our existing repurchase authorization. Before turning the call over to Chuck, I will reiterate the comment I made previously around the competitive environment in our retardant business. While we don't control what will occur around the potential introduction of competing retardant products, we do control how we prepare for potential competition. We are preparing vigorously. Perimeter is the gold standard as far as the efficacy and safety of our products, the quality of our service and the passion, dedication and integrity of our team. We will continue to relentlessly push to raise the bar on ourselves, and we expect to thrive in any future environment. With that, I'll turn the call over to you Chuck.
Chuck Kropp: Thanks Haitham. Third quarter sales in our Fire Safety business were $118.3 million, down 3% versus the prior year and $190.2 million year-to-date, down 8% versus the prior year. Third quarter adjusted EBITDA in our Fire Safety business was $56 million, down 7% versus the prior year and $69.2 million year-to-date, down 15% versus the prior year. Third quarter sales in our Specialty Products business were $24.4 million, down 37% versus the prior year and $72.5 million year-to-date, down 35% versus the prior year. Third quarter adjusted EBITDA in our Specialty Products business was $5.4 million, down 64% versus the prior year and $16.4 million year-to-date, down 61% versus the prior year. Moving to the consolidated business. Third quarter consolidated sales were $142.7 million, down 11% versus the prior year and $262.7 million year-to-date, down 18% versus the prior year. Third quarter consolidated adjusted EBITDA was $61.5 million, down 19% versus the prior year and $85.6 million year-to-date, down 31% versus the prior year. Moving below adjusted EBITDA. Interest expense in the third quarter was $10.4 million, in line with our quarterly run rate. Depreciation was approximately $2.5 million, while amortization expense was $13.8 million in Q3. Cash paid for income tax was approximately $2.2 million in Q3. CapEx was approximately $2.2 million in Q3. Our full year 2023 expectations for interest expense, depreciation and tax rate are unchanged. We expect CapEx to be consistent with our historical spend at or slightly below $10 million. Due primarily to the mild US fire season, we expect working capital to be a use of cash for the year.  We ended the quarter with approximately $675 million of senior notes, cash of approximately $72 million and approximately 152.8 million ordinary shares outstanding. Slide seven bridges between our basic and diluted share count, which includes shares issuable under the founder advisory agreement in future periods. With that, I will hand the call back over to the operator for Q&A.
Operator: Thank you. [Operator Instructions] Our first question is from Brian DiRubbio with Baird.
Brian DiRubbio: Morning, gentlemen. Just a couple of questions, primarily in working capital. I guess, you said it will be now a use of cash this year. Just as we think about sort of the next couple of quarters and the -- particularly inventory, are you still going to be running your plants to still full out? Just trying to see how you're going to be operating your business just given the weak backdrop we've had.
Haitham Khouri: Yeah. Hey, Brian. It's Haitham. I'll take it. The short answer is no. We put a lot of effort into optimizing our plan to -- on the one hand, always meet demand and never self-load air tanker, on the other hand, to be as cost conscious as possible. And when you have the amount of finished goods inventory we do today, you can do things to optimize how you run your plants.
Brian DiRubbio: And is it -- just remind me on the accounting that was -- are you below a point on your operating rates where we're going to see a problem with fixed cost absorption? Or are you still above about a 70% rate? Just trying to get a sense of how this is going to flow through in the next couple of quarters.
Haitham Khouri: It shouldn't flow through a whole lot different than what you've seen. We frankly had seven consecutive mild quarters, mild fire season. So, what you see is what you get as part of the impact of high inventory and not great absorption on the reported financials.
Brian DiRubbio: Got it. And just final question on Fire Safety. Just do you mind -- I know you break it out annually, but what the performance of suppressants was in the quarter? Maybe just a percentage gain of revenue?
Haitham Khouri: No, we're not in the habit of breaking that out. We did last quarter just to give investors a snapshot. I expect we will, in the future, again, break it out on a one-off basis to give investors a snapshot. I'm not going to do it today, Brian. But at a high qualitative level, suppressants had a just a tremendous third quarter top line and margin. We expect to have a tremendous fourth quarter based on our backlog and orders, and we really feel very good about that business.
Brian DiRubbio: Great. Appreciate all the color. Thank you.
Haitham Khouri: You bet.
Operator: Our next question is from Josh Spector with UBS.
Unidentified Analyst: Perrella [ph] on for Josh. I apologize. I was having some trouble getting into the queue here, so I might have missed it. As you think about 2024, the fire season and how it sets up, do you see it more as a return to trend or a return to average next year? And as I think about the Fire Safety business, what are the levers that are within your control to drive growth next year if we get a less than ideal setup for fire season?
Haitham Khouri: Yeah. So, on the 2024 fire season, I'm truly being direct and clearly not trying to be cheeky, we just don't know. We think we have a tremendous business. We think our business has very high likelihood, predictable long-term secular growth, but it's not a business in which we can predict what the next quarter or in this case, looking out five quarters is going to look like. It's a fool's errand to try to project that. As far as the levers within our control, it's the same three things. It's always and consistently the same three things. We try to grind out as much productivity as we can. We try to always price our products and services to reflect the value they provide to customers, and we always push hard to invest thoughtfully behind new business. So, you're balancing obtaining new business with realizing high IRRs on sales and marketing or R&D or whatever it is you need to invest to drive that business. And we're going to continue to just grind through all three of those. And no matter what the fire season is like next year, I'm fully confident we will drive value at each price productivity and profitable new business.
Unidentified Analyst: And as I think about -- switching over to the Specialties business, the -- how much visibility do you have into your customers' order patterns there? And where do you guys estimate inventory is relative to historical norms? Or how -- any sense of how close we're getting to the end of the destocking?
Haitham Khouri: We candidly don't have a great sense. We were surprised by the duration and magnitude of the destock. We're very comfortable, but it's a destock. We're very comfortable that it's transitory and it will end. But we've frankly been wrong on magnitude and duration so far and therefore, I'm hesitant to make a future projection on when it will end. I'm very comfortable that it will.
Unidentified Analyst: All right. Thank you very much.
Operator: [Operator Instructions] There are no further questions. I would like to turn the conference back over to the management team for closing remarks.
End of Q&A:
Haitham Khouri: All right. Well, thank you, everybody, and see everybody again next quarter.
Operator: Thank you. This will conclude today's conference. You may disconnect your lines at this time, and have a wonderful day.